Operator: Welcome to the Full Circle Capital Corporation First quarter Fiscal 2016 Earnings Conference Call. [Operator Instructions]. And at this time I would like to turn the conference over to Garrett Edson, Senior Vice President of ICR. Please go ahead, sir.
Garrett Edson: Thank you, Danny and good afternoon everyone. Thank you for joining us for Full Circle Capital Corp’s first quarter fiscal 2016 earnings conference call for the quarter ended September 30, 2015. If you’d like to be added to the Company’s distribution list, please send an e-mail to info@fccapital.com. Alternatively, you can sign up under the Investor Relations tab on the Company’s website. A slide presentation accompanying this afternoon's conference call can also be found on Full Circle’s website under the Investor Relations tab at www.fccapital.com. Before I turn the call over to management, I’d like to call your attention to the customary Safe Harbor statement regarding forward-looking information. Today’s conference call includes forward-looking statements and projections, and we ask that you refer to Full Circle’s most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. Full Circle does not undertake to update its forward-looking statement unless required by law. To obtain copies of the latest SEC filings, please visit Full Circle’s website under the Investor Relations tab. Hosting the call this afternoon are Gregg Felton, Full Circle Capital’s President and Chief Executive Officer; Michael Sell, Chief Financial Officer; and John Stuart, Chairman. And with that, I’d now like to turn the call over to Mr. Gregg Felton. Gregg?
Gregg Felton: Thank you, Garrett good afternoon and welcome everyone to this afternoon's call. The first fiscal quarter of 2016 saw us continue to deploy our capital into a few select investments in July which were well we received 13 million in repayments throughout the quarter. We declined to make significant investments during the quarter as we believed the investment opportunities that we were seeing were not properly aligned between risk and reward more specifically market dislocations in the more liquid credit markets were not sufficiently repricing private credit to the extent necessary to provide attractive new financing opportunities. During the quarter we took advantage of the opportunity to a accretive deploy our capital through the repurchase of our shares and engage in a 10B51 plan to begin implementing our 2 million share repurchase program. During the quarter we repurchased over 472,000 shares at a weighted average price of $3.19 per share, those purchases were accretive to book by $2 per share. Since then the end of the quarter we repurchased an additional 290,000 shares for a total of over 760,000 repurchased in the span of just a couple of months. We continue to believe that the repurchase program is a very prudent use of our capital at current prices and at the end of the first fiscal quarter we still retained a significant amount of our investment capacity to grow our portfolio. As we move forward we expect to prudently deploy the capital we raised earlier this calendar year, income generated from these new investments should put us in a position to fully cover our current monthly distribution. However until our level of investments generate sufficient income for the company. Our stock holders can rest assured that for the entire year fiscal 2016 our mostly distribution will be sustained and covered as necessary through the waiver of a portion of our management companies base management and incentive fees. We also continue to maintain our existing expense cap limitation for fiscal 2016 in subsequent years, whereby Full Circle Advisors has agreed to provide reimbursement to Full Circle Capital for annual operating expenses exceeding one and three quarter percent of net asset value. Terms of our financial results for the first quarter we recorded net investment income per share of $0.11 which includes the waiver of a portion of our investment advisors fees that I just discussed. Our net asset value was $4 per share as of September 30, with a reduction due to modular process control one of our legacy investments being placed on non-accrual status as well as markdowns of our two energy investments U.S. shale and U.S. oil fields which we believe are marked to reflect the current low oil price environment. Our portfolio's performance was not immune to the volatility of the market and while we were not pleased with the write-downs we continue to work very hard to optimize our portfolios performance. Ass presented on slide 6 through 8 we funded $10 million to two new portfolio companies and one of our current portfolio companies in the quarter and we received $13 million in full and partial repayment. On our last call we noted our new investments in 310E53RD, it's a real estate holding company as well as liquid net holdings and equity trading platform. We also added 1 million in the quarter to our investment in Lee Enterprises [ph] a daily and weekly newspaper publisher. Since the end of July we peered back on our investment activity as we believe the market dislocation will produce better quality investments going forward. That said we still have sufficient investment capacity and we will continue to identify opportunistic transactions and investment structures in various industries that can provide us with a diversified portfolio of assets. In addition to our investment activity in the quarter we received the full repayment at par plus accrued interest and fees of our senior secured credit facility and revolving commitment with Butler Burgher providing us with total proceeds of $8.6 million. We also received full repayment of our senior secured credit facility with net investments, partial repayment of our senior secured credit facility with GW Power and Greenwood Fuels for total proceeds of $2.2 million and we saw a second lien term loan of GK Holdings for total proceeds of approximately $2 million plus accrued interest. Our activity subsequent to the September quarter end is summarized on slide nine, as we received realizations of $2.7 million. At the end of October we sold our equity interest in West World [ph] media for total proceeds of $2.2 million and we also received repayment of approximately $0.5 million on our senior secured revolving term loan through the revolving loan with Trans American assets servicing group. These are both non-interest bearing investments that we were diligently working to monetize in order to redeploy into income producing investments. Overall we remain disciplined in our approach toward growing our portfolio in order to ensure that we are receiving a proper risk adjusted return on our investment and we will continue to live to diversify our overall investment portfolio across a variety of industries. Slide 10, details the metrics of our investment portfolio as of September 30. Our portfolio contain 31 discrete debt investments as compared with 27 a year ago. We continue to favor first lien investments which represent 82% of our portfolio as of September 30, and as of September 30, our portfolio totaled $142 million down from a $152 million in our fourth fiscal quarter of 2015 by up 8% year-over-year from a 132 million. The average size of our debt investment is $4 million dollars and the weighted average interest rate at September 30 was 8.93%. However this average interest rate also includes the effect of non-accruals at a 0% interest rate and so the weighted average interest rate of our performing debt investments was approximately 11%. I would now like to pass the call over to Mike Sell for more detailed discussion of our financial performance in the first quarter. Mike?
Mike Sell: Thanks, Greg. Please turn to slide 11 which provides an overview of the first quarter financial highlights, for the first quarter of fiscal 2016, total investment income was $4.7 million an increase of 16% compared to $4.1 million in the first quarter of fiscal 2015. Net investment income was $2.4 million compared to $1.8 million for the quarter ended September 30, 2014 a 32% increase. On a per share basis net investment income was $0.11 per share versus $0.16 per share in the prior year period with per share amounts based on approximately 23.2 million weighted average shares outstanding in the first quarter of fiscal 2016 compared to 11.9 million for the same period in fiscal 2015. Net unrealized losses in the quarter were $7.5 million comprised of $1.3 million of net unrealized depreciation on equity investments, $6.4 million of net unrealized depreciation debt investment and $200,000 of net unrealized depreciation on an open sub-contract. Realized gains were $100,000 approximately. We reported a decrease in net assets resulting from operations of $4.9 million or $0.21 per share. Net asset value was $4 per share at September 30th, compared to $4.30 per share at June 30, 2015 with a decrease primarily resulting from placing modular process control and non-accrual status as well as the markdowns on our energy investment. Slide 12 illustrates the composition of the portfolio. At the end of the first quarter 71% of our loans carried a floating rate as we noted a benefit of our portfolio consisting of a majority of floating rate loan in a rising interest rate environment we would expect our portfolio and net investment income to increase. Please turn to slide 13, which highlights the important balance sheet item. On September 30, our total assets were approximately $145.8 million. At the end of the quarter the investment portfolio at fair value totaled approximately $142.3 million reflecting the net impact of new investment, repayments and net unrealized losses and realized gains that occurred during the fiscal first quarter. Total liabilities were approximately $54.7 million, this included approximately $33.6 million of outstanding on our eight and quarter percent note. I will now turn the call back over to Gregg.
Gregg Felton: Thanks, Mike. To conclude given the dynamics of the investment environment over the past few months we've pulled back on deploying our capital into investments that we feel will not generate the appropriate return for the risk. We've also seen an opportunity to accretiively repurchase our shares and we believe that we have enough investment capacity at our disposal whereby we won't hamper future growth. At the same time we continue to be aligned with our stockholders as our monthly distributions through 2016, a fiscal year 2016 will be fully supported by the management fee waiver we implemented earlier this year. As our newest investments contribute additional income for the company we should be positioned in the future to generate sufficient income that will cover our distributions to stockholders without the necessity of a waiver. As always we remain committed to delivering long term value to our stockholders in the form of increased returns and sustainable stock holder distributions and now back we would like to open up the call for questions. Operator? Question-and-Answer Session
Operator:
Gregg Felton: Okay. Thank you operator. In closing we thank you for attending the call this afternoon and we look forward to speaking with you on our second quarter fiscal earnings call in February, until then please don’t hesitate to reach out to John, Mike or myself at any time should you have any additional questions. Thank you very much.
Operator: Ladies and gentlemen that does conclude today's presentation and we appreciate everyone's participation.